Christopher Ryan: Thank you. And good afternoon to you all, and thank you for joining the fiscal 2020 third quarter fiscal results conference call. I am joined here today with Lakeland’s Chief Operating Officer, Charles Robertson, and our Chief Financial Officer, Allen Dillard.  For today's call, we are first going to discuss the status of operations and our financial results. Then the call will be opened up, so that we may respond to your questions.  Now onto the formal remarks. For the second consecutive quarter, our revenues exceeded $27 million, which puts us on a high trajectory to the highest annual top-line results in the company's history. Third quarter revenue came in just under the second quarter level, which was the highest in the company history excluding emergency demand.  The strength of our third quarter top-line performance was even more pronounced than second quarter revenues benefited from catch-up orders associated with shipping delays stemming from our ERP implementation. Approximately, $500,000 in revenues were recorded in the second quarter of the fiscal 2020 for orders that had been ERP delayed.  Excluding this approximated amount, second quarter revenues would have been $27 million. So we would have been seen sequential growth of about 2% for the third quarter. We are now two quarters into using the ERP system at nearly full speed in our U.S. operations only. This represents a little more than half of our global business.  We are delivering orders on time, managing our inventories better and generating other sustainable improvements. Our COO, Charles Robertson has been one of our leading ERP proponents and he noted that as an example of the benefits we are now realizing from the ERP installation, we are coming upon an important and unexpected benefit that I would like to share.  Through analysis made possible by our ERO system, we noted that our containers when loaded with product and shipped from around the world, come with certain time-based rental pricing and penalties.  Using the ERP, we were able to track containers through their routes, receive, unpack and log into inventory, the contents for redistribution and return the container within the allocated time before penalties are applied.  Through the course of the year we believe we can add 200 basis points back to our gross margin by eliminating the penalties incurred in fiscal 2019. That's a huge benefit that goes right through to our operating income line.  Back to our third quarter results. The diversification of our global operations and other initiatives to drive in efficiencies and growth are beginning to deliver their intended results. We reported an increase in net income of over a 130% on revenue growth of 14% over the prior year period.  And while we started in the second quarter to get back on track with fulfilling past orders, our new bookings have been very strong, which resulted in incremental growth to our backlog.  Third quarter bookings in the U.S. were $16.8 million an increase of $500,000, up from the second quarter bookings of $16.3 million with the second quarter level up to 7% from the first quarter. Revenues have increased year-over-year.  Bookings are up on the year and sequentially, and our backlog has continued to rise going from $5.4 million at the end of first quarter to $5.9 million at the end of the second quarter to $8.4 million at the end of the third quarter.  On a geographic basis, there was strong revenue growth in the Americas with domestic U.S. revenues up 20% from last year. Sales outside of the U.S. were up 9% year-over-year on a reported basis. All major operating segments delivered sales growth except for China. China continued to be in a sort of economic slump and hurting from the ongoing trade negotiations with the U.S. This is where it gets really interesting for Lakeland and potentially very promising for our future. Many companies including our competitors are seeking ways to exit or reduce their reliance upon China, given the challenges presented by the trade situations with the U.S.  Lakeland has successfully transferred all of the production out of China that we had planned to move, a process that began two years ago due to the increased labor costs and not due to the more recent international tariff disputes. This backdrop creates longer-term opportunities both within China and with our customers who may exit China.  To this end, we commenced the large sale promotion campaign celebrating the 70th anniversary of the People's Republic of China during the month of October to attract new customers seeking a permanent supplier. The campaign was a significant contributor to China's revenues increasing by $580,000 or 14% in Q3 from Q2 curtailing the production capacity and reducing our inventory.  Last quarter, we said we can safely reduce inventories by $4 million. With the third quarter behind us, we have already reduced inventory by $1.6 million. Manufacturing capacity reductions also were implemented. Over a 100 positions were eliminated in Vietnam and India combined with lower production on the same factory floor expense plan. So these items are taking away from our profit margins with most of the impact experienced in the third quarter.  As production requirements are increased, based on incrementally higher order growth, we will be able to add back staff commensurately. Meanwhile, we have improved our overall efficiencies and continue to manage all areas of expenses as we invest in our growth.  The operating leverage in our business on the higher sales volume has enabled us to drive outside relative returns and we believe there remains additional areas for improvement. All major operating regions globally including China were profitable in the third quarter. As compared with the third quarter of last year.  Consolidated operating profit increased by 82%, while our operating margin as a percentage of sales increased by 60%. We continue to believe that the greater operating leverage can be achieved as we grow our global revenue base, bolster our gross margins and drive improved efficiencies.  In fact, our results are even more impressive when you factor in, the strength in the U.S. dollar against foreign currencies which mutes the sales performance of our non-U.S. subsidiaries as reported on a consolidated basis and the new GILTI income tax rules which require us to record a large non-cash income tax expense in the third quarter.  Our CFO Allen Dillard will review this in greater detail during his remarks. That concludes my remarks. I will now pass the call to Allen and provide a more thorough review of the company's financial results. 
Allen Dillard : Thank you, Chris. The following address is my review of the fiscal 2020 third quarter ended October 31, 2019. Net sales were $27.5 million for the three months ended October 31, 2019, essentially flat with the second quarter and up 14%, as compared to $24 million for the three months ended October 31, 2018.  On a consolidated basis for the third quarter of fiscal 2020, domestic sales were $14.2 million or 52% of total revenues and international sales were $13.3 million or 48% of total revenues. In the prior year period, domestic sales were $11.8 million or 49% of the total and international sales were $12.2 million or 51% of the total.  The company experienced strong sales growth domestically benefiting from easing of earlier delivery challenges associated with the ERP implementation and solid economic activity in the U.S. We experienced 20% year-over-year growth in the U.S.  In Mexico, sales of $900,000 increased by 12%. Sales in Canada of $2.6 million, increased 25%. Latin American sales of $1.9 million grew 19%.  Europe and the U.K. sales of $2.4 million increased 8%, and other foreign sales led by Russia and Kazakhstan, but excluding Asia of under $1 million was just up from $100,000 and sales from our Asian region, which is dominated by China had sales of $4.6 million which declined by 15% from $5.4 million.  Foreign currency - foreign exchange currency translations negatively impacted sales in the UK, Europe, Canada and China as reported on a consolidated basis by approximately 2% or $250,000 under $180,000 was recorded for FX adjustments in third quarter 2020 versus $235,000 in the prior year period. The company has used minimal hedging year-to-date in fiscal 2020.  As we mentioned last quarter with respect to the market in China, we do not anticipate a recovery unless the U.S. China dispute is settled and even then, it will require time for China’s manufacturing and GDP to recover.  Last week report surfaced that the U.S. trade deficit dropped almost 8% in October to a 16-month low, largely because of fewer imports from China tied to the ongoing U.S. trade war between the two countries.  Chinese workers need protective apparel when making products that are exported. If there's less demand from this exporting giant, it is only logical that they will need fewer workers who need protective clothing. As Chris alluded to during his comments, many manufacturers are looking to exit China and set up shop elsewhere.  This is causing disruption in the PPE market and contracts are being put up for bid. Amid this turmoil, Lakeland is in a position to benefit as we have a solid organization, with a manufacturing workforce that was reduced over the past two years and is now in lean fighting condition with best-in-class products.  We introduced a new promotional campaign and have been actively marketing in the region to establish an even stronger foothold, which we expect will enable growth as economic activity stabilizes.  In the meantime, the promotional rates contributed to lower gross margins for our third quarter, also driving gross margins lower in the third quarter was the short-term manufacturing curtailment initiatives where we reduced headcount in our Vietnam and India plants by approximately 10%.  A majority of the other costs at these facilities remain the same and are included in our cost of goods sold overhead, so this has eaten into our margins. We have previously staffed up these locations in order to build inventory in anticipation of backlog issues with the implementation of the ERP system.  Now that the system is running relatively smoothly, we can deliver products more expeditiously and reduce our inventory and manufacturing capacity accordingly. That is until we take more market share or further drive our top-line. At such time, we may go into double shifts or add more manufacturing headcount. On our strong third quarter revenues, gross profit of $9.3 million for fiscal 2020 third quarter increased by 12% from $8.3 million for the same period of the prior year.  Gross profit as a percentage of net sales was 33.9% for fiscal 2020 third quarter, down slightly from 34.6% a year ago. The lower gross margin also reflects the sales mix with a higher concentration of U.S. sales, which are typically lower margin disposables.  Tariff increase - increases on products made in China and sold in the U.S. had minimal impact on our financial results since we have been able to ship most of the manufacturing of these products to our Vietnam and Mexico plants or instituted a 10% price increase to cover differentials.  Operating expenses increased a modest 2.2% to $7.5 million from third quarter last year, but was down from $7.8 million in the second quarter of this year. The increase in operating expenses primarily relates to higher shipping on a larger revenue base, increased bad debt provision due to a sudden customer bankruptcy and expanded marketing costs as the company continues to build its global brand.  These were partially offset by a reduction in non-cash stock-based compensation, which was taken to zero in the third quarter. Operating expenses as a percentage of net sales was 27.2% in third quarter 2020, as compared to 28.3% in second quarter 2020, and 30.4% in third quarter 2019.  Lakeland reported operating profit of $1.8 million or 6.7% of revenues in third quarter 2020, up from $1 million or 4.2% of revenues in the same period last year. All major operating regions were profitable in the third quarter of fiscal 2020. We continue to see operating expenses as one of the many areas where we can further improve our performance measurements.  On the higher pre-tax income, our income taxes increased. Income tax expense consists of federal, state and foreign income taxes. Income tax expense was $0.7 million for the three months ended October 31, 2019, compared to $0.5 million for the fiscal 2020, comparable fiscal 2019 period.  As a reminder, we have substantial tax yields pertaining to our U.S., corporate income taxes. However we are subject to taxational profits of certain of our foreign subsidiaries, as well as the new GILTI tax, which has been in effect this year.  GILTI stands for Global Intangible Low-Taxed Income and as the new U.S. tax regime related to income earned by controlled foreign affiliates of U.S. companies in excess of allowable returns from intangible assets associated with such operations.  GILTI went into effect in 2018 following the passage of the 2017 Tax Cuts and Jobs Act, the 2017 Act among other things, lowered the US Federal corporate income tax rate from 35% to 21% and requires companies to pay a one-time transition tax on earnings of certain foreign subsidiaries that were previously tax-deferred and creates the GILTI tax applicable to certain foreign-sourced earnings.  A minimum tax for GILTI of 10.5% was implemented to discourage U.S. multinational corporations from shifting domestic profits to lower tax foreign operations. The new GILTI tax led to a consolidated income tax that was higher than one might expect, but it should be noted that the GILTI tax is non-cash or cash taxes paid are much lower than the GAAP income taxes.  In our fiscal 2020 third quarter, the effect of non-cash GILTI taxes on earnings resulted in a reduction of approximately $300,000 to net income. In the first nine months of fiscal 2020, there was approximately $600,000 of non-cash charges for the GILTI tax. We recorded these charges based on the tax regulations as they exist today for a company with a U.S. based NOL carry-forward. There are three key contributing elements that determine the GILTI tax. It's complicated. So we won't go into those details now. But can have a discussion offline, if you require additional information. New regulations to refine the current laws await confirmation for which the timing on a decision is unknown. But anything booked until such time is not expected to be reversed.  Lakeland's net operating loss was approximately $18 million at October 31, 2019. As we've mentioned, the GILTI provision does not impact Lakeland’s cash taxes, given the company's available U.S. NOL. So we do not view the GILTI tax at this time as a meaningful component of our core operations and financial performance. The GILTI tax reduced reported net income by 21% to $1.1 million. Reported net income in the third quarter $1.1 million was increased by a 129% from $0.5 million last year. Basic and diluted earnings per share of $0.14 increased from $0.06 in the prior year period. The company had 8,006,829 shares outstanding on October 31, 2019.  No shares were purchased in the third quarter as part of the company's $2.5 million stock buyback program that was approved in July 2016. Today, $1.2 billion has been spent to repurchase 114,000 shares with over $1.2 million remaining available under the buyback program, which is the equivalent to 1.5% of our current market value.  As of October 31, 2019, Lakeland had cash and cash equivalents of $9.5 million, an increase of 400,000 from the end of the second quarter, as the company reduced inventories following better usage of ERP system.  Inventory decreased by $1.6 million during these periods. Other notable balance sheet changes include accounts receivable at October 31, which decreased $0.6 million from July 31. Total debt outstanding at October 31, 2019 was $1.2 million, down $300,000 or 24% from $1.6 million at July 31, 2019. The company has no borrowings outstanding on its $20 million capacity line of credit.  Capital expenditures for the quarter were approximately $0.1 million, down from $0.4 million in the second quarter of the year and $1 million in third quarter 2019. Capital expenditures for all of fiscal 2019 were $3.1 million and are expected to decline to approximately $1 million for fiscal 2020, which is lower than our previous estimate of $2 million as we deferred certain projects pending our inventory reduction actions.  The majority of spending in the current year has been allocated towards the phased rollout of the ERP system, an additional manufacturing capacity in Vietnam and India, which has been completed.  With our existing facilities and workforce, depending on product mix, our runrate of revenue from a normalized and efficient manufacturing standpoint could be in the range of a $130 million to $150 million, up from our current annualized revenues of about a $110 million, which we have been running at for the past two quarters.  There is room for growth in our top-line and even more for our earnings and cash flow and we are primed to deliver on these fronts.  That concludes my remarks. I will turn the call back to Chris for his final remarks before we open the call to questions. Chris? 
Christopher Ryan: Thanks, Allen. We remain very encouraged by the company's direction and progress, including potential cash flow generation, which would be an even greater catalyst to encourage us to buy more shares utilizing the existing buyback program in place. As we work toward the close of fiscal 2020, we believe we are very well-positioned with an impressive array of products for basic daily use and specialized applications. The diversified and optimized manufacturing presence around the world that provides us with flexibility to navigate the current macroeconomic environment, improved financial health and a solid global team to capitalize on the opportunities ahead.  That concludes my remarks. I will turn the call back to the operator to begin the Q&A session. 
Operator: [Operator Instructions]  Thank you. Ladies and gentlemen. We'll move first to Dave King at ROTH Capital Partners. 
Dave King: Thanks. Good afternoon. I guess, first on the China promotion, do you have with the basis point impact to gross margin was in the quarter and then, I guess more importantly do you plan to continue that promotion either in Q4 or as we look forward to kind of capture market share, given some of the macro things you talked about? Thanks. 
Charles Roberson: Alex or Dave, this is Charlie Robertson. 
Dave King: Hey, Charlie.
Charles Roberson: The second part of your question first, no, that was a celebration for the 70th anniversary of the People's Republic of China and we do not anticipate it - in continuing - it ended at the end of October. The discount was up between 7% and 10% and it netted us about an additional $580,000 in sales.  So, we're looking at about $58,000 in discounts. So, we are talking about maybe what, 30 basis points. Somewhat like that.
Dave King: Okay. That’s helpful. And then, okay, that makes sense. And then, so it sounds like that was a specific promotion, but no other plans in terms of any other kind of China promotions as we as we move forward to try to capture share. 
Charles Roberson: No. No it's our plan to - one of the things that we're - one of the headwinds we are encountering there is, Chinese nationalism. We've always built our products as a premium and as a U.S. company. So we are adjusting to that.  Our products are as Chinese as any Chinese product that’s made from their Chinese raw materials by Chinese people in Chinese plants. So, we are now repositioning our product line as a Chinese product line. 
Dave King: Okay. That helps. Then, switching gears a bit, bookings, backlog, everything is going up, but obviously there is some of these macro pressures in China. But then also just the PPNE industry disruption. Just how should we be thinking about the pace of top-line growth moving forward, just all-in in the fourth-quarter, but then also year ahead? Just what are the high-level thoughts there? Thank you.
Charles Roberson: We anticipate a continuation of the current growth rate. We are actually building and have strategic plans that we're developing to support that into the future. A critical element of that is continuing the ERP rollout. We've seen unexpected and unanticipated benefits that actually make us or provide opportunities that we had never anticipated into the future.  The key for us is going to be aligning our current inventory reduction and reducing the right parts of our inventory, so that we can continue to support this growth trajectory and that's the hard part internationally, because we don't yet have ERP to assist with that. And as we roll it out, that will be the tailwind for growth. 
Dave King: Okay. That helps. And then, last one for me. On India and Vietnam, should we be expecting some of the margin pressures that occurred in the quarter to continue at all into Q4? And then, do you – is the plan to move any of your existing production from China to those countries?  Or it sounds like now, it might be more about putting incremental growth there. I guess just where do things stand? And what's the strategy for those two markets on a production side moving forward? Thank you. 
Charles Roberson: Well, I think, we've largely, in the comments, we talked about $2.7 million overbuilding because of ERP. That led to our overbuilding in our India and Vietnam plants. We've now lost a 100 people, I believe it was Allen’s number. That amounts to a rightsizing of those operations in my estimation. So, I don't think we're going to continue to see those levels of curtailment.  What we may see is a slowdown, reduced workdays, but we're not going to see out and out curtailment. Especially, given the growth trajectory that we anticipate while we opened Vietnam because of pricing pressures from China and not because of international trade, one of the things that the trade war has done is accelerated our move - our transfer of technology from China into Vietnam.  And Vietnam is dealing with that at an accelerated rate. So I think we've got the majority of what we're going to move there already in place. Now it is a question of ramp up on sales team and the other more complex technologies.
Dave King: Okay. That helps. Alright. Well, thanks for taking my questions and good luck for rest of the year. 
Charles Roberson: Thank you.
Operator: [Operator Instructions] We’ll move next to Alex Fuhrman Craig-Hallum Capital. 
Alex Fuhrman : Great. Thank you very much for taking my question and congratulations on another really strong quarter. Just from a high-level perspective, would love to understand as you build your business back up here and it looks like you're on pace to exceed a $100 billion# in revenue.  Can you give us a sense of, what does your customer file looked like in terms of industry groups you're targeting today compared to what it was four or five years ago? Is it a similar mix? Or have there been certain end-user groups that have really helped to drive that growth? 
Charles Roberson: It decidedly does not look to same. What was it? Five years ago, we – when the fracking shutdown, we were about 25% to 26% dependent on oil and gas and we determined at that point that we didn't want to repeat that scenario. Not just the fact that the business was down and we had to replace that in and of itself necessitated our going elsewhere.  The places we're looking and we've talked about this in prior calls, pharmaceutical cleanrooms, electric utilities, we're just barely scratching the surface of those markets right now. The bulk of our growth has come across a broader spectrum of our businesses.  It is industrial. It’s not all oil and gas. It's not the cleanroom markets. We're seeing a general lift. When you report, 14% growth in the U.S., 9% growth internationally, it’s a - we're not seeing the economic problems that are being reported about production slowdowns in industrial output. We are not seeing that yet. 
Alex Fuhrman : Okay. Thanks. That's really helpful. And then, if I could get a little bit more color on something that was mentioned in the prepared remarks, I think this might have been your comments, Chris. But just about as you're going through the benefits of the ERP system, it sounds like you've identified some pretty significant savings on containers.  Can you can you talk a little bit more about that? And I think you had mentioned Chris 200 basis points is basically how much cost could conceivably be taken out based on some of these extra container fees that you paid in 2019? That's obviously a pretty huge number. Can you give us a sense of when you might start to see those savings?  And then, are there any offsetting costs that you need to spend in order to get the containers free sooner to be able to return them? Just anything you can tell us to help us make sense of that and when we should expect to see the benefits will be very helpful? 
Christopher Ryan: Okay. Prior to putting in this ERP system, we generally carried a fairly heavy inventories. The ERP system is allowing us and there's still about another year of improvements we can make on the supply chain and the supply chain, for the most part can start in China and end at the end-user's door, which is our ultimate customer.  That can be a 180 days. And the ERP should allow us to reduce that by almost 90 days. And so that reduces a lot of expenses. It reduces the amount of inventory you are carrying. But the ERP basically allows you to do better production planning, which reduces inventory, reduces expenses, reduces the time in the supply chain, which means faster inventory turns, which means higher return on equity.  And we still have a good year of improvements left in the United States only. Okay. That's half the business. But it's basically moving stuff from China through our warehouses in the U.S., to the end-user directly or indirectly through the distributor, much, much faster. And that just really improves your margins, improves your earnings, improves your return on equity, improves everything.  Then we've got a foreign part. In other words, getting China online, because it's the big production operation. And so, that their inventories are moving faster.  They are being able to cut and manufacture better, because when you have a - when you have the big day, when you're able to analyze the big data of a good relational database, you can sit there and say, well, I've got ten different orders from ten different Lakeland countries.  And you can put the manufacturing together more efficiently. All of a sudden you realize, I've got seven orders from seven countries and they all want the same thing. Let's cut and sell them all at the same time. Okay, even though we're going to split them up in China, they're going to go out to different places.  We don't see that right now. Because it's just too much data to analyze by hand and we were far behind. But now we've got a relatively modern ERP system. So, it is the whole supply chain, expense and turning the inventories quicker. And once you turn inventories quicker, the cash flow really picks up. And most people, particularly the quant see that immediately. 
Alex Fuhrman : Okay. That's great. That's really helpful. Thank you. Chris. 
Operator: [Operator Instructions] I currently have no other questions holding. I'll turn the conference back to management for any additional or closing comments
Christopher Ryan: Well, we appreciate your participation on Lakeland's fiscal 2020 third quarter financial results conference call. We continue to be poised for continued growth of sales, market share attainment and profitability in fiscal 2020, which we believe will deliver value for our shareholders.  If you are an institutional shareholder or potential investor, we will be presenting at the LD Micro Conference tomorrow in Los Angeles and look forward to seeing you there. Indeed, we are here right now.  Thank you and good bye. 
Operator: Ladies and gentlemen, that will conclude today's conference. We thank you for your participation. You may disconnect your phone line at this time and have a great day.